Operator: Good morning, everyone, and welcome to Geodrill's Fourth Quarter and Year-End 2025 Financial Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, March 2, 2026. Before we begin, Certain statements made on today's call by management may be forward-looking in nature, and as such, are subject to various risks and uncertainties. Please refer to the company's press release and MD&A for more details on these risks and uncertainties. I will now turn the call over to Mr. Dave Harper, President and CEO of Geodrill. Please go ahead.
David Harper: Thank you, operator, and good morning, everyone. Welcome to Geodrill's conference call. Joining me on the call today is Greg Borsk, our Chief Financial Officer. Fiscal 2025 was earmarked by solid execution and real momentum across the business. Throughout 2025, we continued to meet strong demand from our customers in West Africa, while pushing ahead with our strategy to broaden Geodrill's geographic footprint in a disciplined and deliberate way. At the same time, we secured long-term contracts, expanded our operating capacity and continue to strengthen the culture of our safety and operational excellence that underpins everything we do. Furthermore, in 2026, we continue to see strong macro tailwinds across our key markets. Activity levels are healthy. Sentiment is improving, and customers are leaning in. This gives us confidence that the groundwork we laid in 2025 positions us well for what lies ahead. Before I hand the call over to Greg, let me touch on several key operational achievements for the year. We maintained a strong operating presence across West Africa, with Ghana, Cote d’Ivoire and Senegal firmly established as our anchor jurisdictions. Customer relationships in these markets remain robust and our service offering continues to align with the region's solid pipeline of exploration and delivery and development activity. We also strengthened our long-term revenue visibility by securing additional multiyear contracts. These contracts not only underpin revenue stability for 2026 and beyond, but they also reflect the confidence our customers have in our ability, our performance and our people. In South America, we continue to advance our focused strategy. We increased our regional fleet to 18 rigs with a particular focus on Chile. This reinforces our commitment to what we see as an important fast-growing market that positions us well to capture sustained demand in the region. We ended the year with a robust fleet of 100 rigs, ensuring we have the scale and the flexibility required to meet both current requirements and anticipated increased demand. In addition to executing operationally, we continue to demonstrate confidence in the strength and the long-term value of the business by repurchasing 91,700 shares during the year and an additional 5,500 shares -- 58,800 shares subsequent to year-end. This reflects the disciplined approach we take capital allocation and our commitment to creating value for our shareholders. Before moving to the financial results, I would like to briefly also address the additional tax expense incurred in Cote d’Ivoire. In early 2026, Geodrill entered into a memorandum of understanding with the local Cote d’Ivoire tax authorities, related to the previously disclosed tax recovery notes. This follows certain restrictive measures initiated by the Cote d’Ivoire authorities in December 2025 to ensure uninterrupted operations, which is always our top priority. Management determined that reaching a settlement was the prudent and responsible course of action. It is important to note, however, that we are actively pursuing reimbursement of the additional taxes from the registered tax agency that we believe is responsible for this matter. We remain confident in our position and we will continue to take necessary steps to protect the company's interest always. With that, I will now hand things over to Greg to walk you through the financial performance for the year. Thank you.
Gregory Borsk: Thank you, Dave. Fiscal 2025 delivered strong top line results. We generated record annual revenue of $185 million, up from $143 million in 2024 representing a 29% year-over-year increase. Gross profit, however, declined to $33.4 million or 18% of revenue compared to a gross profit of $34.7 million or 24% of revenue in 2024. The decline for the gross profit and the gross profit margin in 2025 versus 2024 related to the following. The sharp appreciation of the Ghanaian cedi increased our operating costs. We saw the cedi appreciate by approximately 43% during the year. The group has significant costs such as payroll that are denominated in cedi. And as a result, this had a direct impact on our gross margin decline. In addition, we incurred ramp-up costs in South America, largely due to scaling up in a new region ahead of full deployment and optimal utilization. Our drilling mix also shifted resulting in margin pressure. And like many drilling operators, we faced inflationary and labor-related cost increases across our regions. Overall, EBITDA came in at $35.1 million, representing 19% of revenue despite margin compression. Additionally, as Dave mentioned, we recorded an additional tax expense in Cote d’Ivoire relating to prior years, which, coupled with the lower gross margin, further impacted net income for the year, resulting in a net loss for 2025 of $1.9 million compared to net income of $9.1 million in 2024. EBITDA and the net loss were favorably impacted by the expected lifetime credit recovery of $450,000, a foreign exchange gain of $1.2 million and the $3.3 million gain on equity investments. We closed the year with net cash of $7.8 million, excluding right-of-use liabilities. And shareholders' equity of $117 million, both highlighting the strength of our balance sheet. I will now pass the call back to Dave.
David Harper: Thank you, Greg. So let me leave you with this. The drilling market is strengthening and Geodrill is exactly where it needs to be. Activity is building across our regions. Our utilization is high and our customers are leaning in with extensions and new field programs. As pricing continues to improve and South America settles into full stride, we expect margins to improve accordingly. Our balance sheet gives us the flexibility to grow without compromising discipline and our pipeline of contracts secured, rigs mobilizing, tenders advancing is real and is expanding. Just as importantly, our financial strength continues to give us the ability to create value for shareholders. We are staying focused, staying driven, staying committed to delivering a stronger performance, and now eyes forward as we look forward to the road ahead. Thank you for joining us today. I'll now pass back to operator to open the lines for questions.
Operator: [Operator Instructions] And your first question is from Donangelo Volpe from Beacon Securities.
Donangelo Volpe: Just regarding the payment of the $8.4 million into tax authorities in Cote d’Ivoire, what are your expectations on the frequency of payments? Are you guys going to stick to the minimum installment of $900,000 a month? Or do we anticipate paying this off early?
Gregory Borsk: No. What we negotiated a monthly payment, and so there's really no need to pay that off early. The plan is -- we make -- so far, we've made a payment in January and February. There's a payment in early March. And once we've made three or four payments, the -- the plan is to sit down with them and try to rediscuss the settlement. And just we were -- that the MOU that we entered into -- in January, we had to do that very quickly to kind of make sure we were able to continue to operate in Cote d’Ivoire in Q1. So I think once we have three, maybe four payments under our belt here, it will make sense to sit down with them again in a more controlled environment. But to answer your question, there's no incentive and there's no plan to pay that off early.
Donangelo Volpe: Okay. Perfect. And then just moving over to South America. Just wondering if you could provide some color on the ramp-up of activity and kind of when we can expect to see positive gross profits come out of this region? Would we be expecting that to come in Q1? Or would it be a little bit later in 2026?
Gregory Borsk: Okay. So Dave, do you want to talk just about the ramp up? And then...
David Harper: Best if I just start with the ramp-up. So it was a really busy year. We basically moved from a rig fleet a year ago of 8 rigs, and we ended the year with 18 rigs. So that's a doubling of the rig fleet. And it was based on continued increasing demand. The thing when you're growing that rapidly is that you're constantly prefinancing the costs associated with getting those rigs into the field. And so as 2 rigs or 3 rigs take new contracts, essentially, the next wave of rigs would come through and so on. So the entire year, we were basically prefinancing future growth, if that makes any sense. So the laggard, of course, in all of this begins with costs first, revenue second, and lastly, margin. So we're pretty much done with the growth. We did late last year -- in the latter part of last year, we did secure a fairly significant contract for 4 rigs, which essentially took us from 14 spinning to 18 spinning. So we're currently at 100% utilization in Chile, couldn't be happier in terms of the order book. Really couldn't be happier with the rate of progress and the revenue increase. We could certainly be happier with the margin. But I think that we -- I mean, we went into this thing with our eyes open. This was -- it's not like it was not expected. But we -- what we didn't anticipate is just how rapidly we would grow in South America. So on that, I think I'll pass over to Greg, who can tell you more about margin. But from our point of view, Donnie, I actually see this as a total positive. It's all good.
Gregory Borsk: Yes. Donnie, one nthing -- If you look at South America as the group, we were between two countries. We were operating in Chile, and we're also operating in Peru. Have a base in both countries, et cetera. And then in 2025, we really made the strategic decision. It made sense for us to just focus on Chile. So there were some costs with winding down Peru, moving rigs from Peru to Chile, just letting certain people go, et cetera. But if you look at it, it's an investment. It's an investment in that region where we're now solely focused on one country. And just to add what Dave said, in Chile right now, we're effectively fully utilized. We have 18 rigs. They're all spoken for five. We have all of our accounts in Chile are marquee accounts. We just won a new contract that we're mobilizing. We had a couple of rigs in the workshop that we're just completed and ready to go. So they're being mobilized as we speak. So Chile will be extremely busy for us at Q1 and through Q2. One of the things that why we're focused on Chile and why we moved rigs there is, there is a bit of a seasonality in Q3. One of our accounts we drill in high altitude, so that slows down. We're never sure what that looks like when we sit here in Q1. But I can tell you, just to reiterate, today in Chile, we are effectively fully utilized and extremely busy, and that will continue in Q1 and Q2.
Donangelo Volpe: Okay. I appreciate all the color there. And then I guess final one for me, and then I'll hop back in the queue. But yes, given, I guess, we'll call it peak full utilization in Chile, can you provide any color on CapEx outlook for fiscal '26? -- like where would you anticipate the fleet being at the end of the year? Would it still be the 100 mark? Or would we expect some growth to the fleet?
Gregory Borsk: Yes. No, there's always growth to the fleet, but I think it's -- and what we do is we grow with our clients. So if some of our large Tier 1 clients require either specific drill rigs or additional rigs, and it's tied into our contracts, et cetera. We'll continue to add rigs in that. We don't add rigs on spec anymore. We ended the year with 100 rigs. I can see that number probably by the end of the year, we've probably budgeted at between 5 to 10 rigs. So there's always additional CapEx. We're not looking at significant but another 5 to 10 rigs would probably make sense. And as I said, we've always been able to finance that with cash flow from operations. If you look at the statement of cash. You can see everything we generate from operating activities is typically reinvested back into our PPE. So if you look at 2025, we -- I think we're about $24 million is what we generate in cash flow from operations, and we added about $18 million in rigs. So again, similar that's the model, continue to add rigs where it makes sense in conjunction with our Tier 1 accounts. But the kind of the same growth as last year, if you will.
Operator: [Operator Instructions] There are no further questions at this time. Please proceed.
David Harper: Okay. Well, on that note, I'll thank everybody for joining today's call. Have a great day. Thank you.
Gregory Borsk: Thank you.
Operator: Thank you, ladies and gentlemen. The conference has now ended. Thank you all for joining. You may all disconnect your lines.